Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Lithia Motors Second Quarter 2024 Earnings Conference Call. At this time all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Jardon Jaramillo, Senior Director, Investor Relations. Thank you. You may begin.
Jardon Jaramillo: Good morning. Thank you for joining us for our second quarter earnings call. With me today are Bryan DeBoer, President and CEO; Chris Holzshu, Executive Vice President; Tina Miller, Senior Vice President and CFO; Chuck Lietz, Senior Vice President of Driveway Finance; and finally, Adam Chamberlain, Chief Operating Officer. Today's discussion may include statements about future events, financial projections and expectations about the company's products, markets and growth. Such statements are forward-looking and subject to risks and uncertainties that could cause actual results to materially differ from the statements made. We disclose those risks and uncertainties we deem to be material in our filings with the Securities and Exchange Commission. We urge you to carefully consider these disclosures and not to place undue reliance on forward-looking statements. We undertake no duty to update any forward-looking statements, which are made as of the date of this release. Our results discussed today include references to non-GAAP financial measures. Please refer to the text of today's press release for reconciliation of comparable GAAP measures. We have also posted an updated investor presentation on our website, investors.lithiadriveway.com, highlighting our second quarter results. With that I would like to turn the call over to Bryan DeBoer, President and CEO.
Bryan DeBoer: Thanks, Jordan. Good morning, and welcome to our second quarter earnings call. Our Lithia and Driveway teams continue to drive results as we mature our unique and profitable mobility ecosystem. Our associates met the operational challenge we faced in the quarter and delivered much improved operating results and execution of our strategy with an adjusted diluted earnings per share of $7.87, a 30% improvement sequentially despite the CDK outage. We achieved our highest ever quarterly revenue, our first quarter of profitability in financing operations and laid the foundation for continued growth in our ecosystem as we serve customers wherever, whenever and however they desire. We have strategically used the higher profits and capital of recent years to grow, scale revenue and earnings by nearly three times since COVID began plus built, acquired and funded all our crucial differentiating strategic adjacencies, Driveway, green cars, DFC, PVM, and now Wheels. These important design and scale advantages, built and assembled during a period of low cost capital have paved the highway to higher margin and a lower cost business with unlimited potential to capture market share. We are now focused on growing this market share, leveraging our scale, realizing all the potential we have built and delivering operational efficiencies through customer experiences across our ecosystem. This quarter brought a unique challenge when CDK faced a cyber attack that impacted many of ours and others' dealer management systems. I'm proud of the way our team responded quickly pivoting to create solutions and continuing operations across our network. We will talk about the impact on results and operations in a moment, but I want to recognize the impressive efforts of our team members who rose to the challenge, serving our customers 24/7. We continue to make significant progress with large sequential improvements in profitability even after the impacts of CDK. We've achieved the first promise stage of the 60-day plan that aim to create at least $150 million in annualized SG&A cost savings that will be fully realized during Q3. Looking forward, we now believe there is potential to double this amount primarily driven from inventory reductions and are expected to occur by year-end. During Q2, we made significant progress in areas such as personnel, advertising and corporate level expenses and implemented a redesign of leadership roles to focus on maximizing profitability while leveraging our ecosystem. We are pleased to announce that we have purchased a minority stake in Wheels in partnership with Marubeni Corporation. Wheels is one of, if not, the largest fleet management company in North America with a best-in-class management team, strong performance and surrounded by a robust competitive moat. This investment in a high-margin and highly profitable fleet management operator has the potential to create transformative synergies between our retail and their fleet platforms. Alongside PVM and fast leasing, Wheels completes our global omnichannel strategy focused on a complete mobility ecosystem. Now on to key results for the second quarter. Lithia and Driveway grew revenues to $9.2 billion up 14% from Q2 of last year. While vehicle operations experienced headwinds as a result of the CDK outage, prior to the outage, Q2 had strong improvements in our same-store sales and delivered good momentum in our cost savings efforts. Diving into same-store sales performance, total same-store revenues were down 6.4% and gross profits declined 12.5%. Consumers remain resilient despite recent trends that reflect challenges from affordability and higher interest rates with unit sales in the quarter down only 3%. Total vehicle gross profit per unit remained resilient in the quarter at $47.62 similar to last quarter and down $951 compared to the same period a year ago. Our aftersales business was down 1.4% in the quarter. This decline is primarily related to CDK which drove after sales down almost 40% during the 12 days of the outage. We expect some of the work will be deferred into early July as our systems and processes return to normal. Our teams have been nimble and responsive, and we do not expect any long-term impacts. Our investment adjacencies are maturing nicely as they move towards sustainable and considerable profitability. Financing operations produced strong results with income of $7.2 million in the quarter compared to $18.7 million loss last year, achieving profitability earlier than expected. Driveway and GreenCars burn rates have also been reduced by 40% compared to a year ago as we continue to refine our e-commerce strategies, improve operating and advertising efficiencies and convert new customers. All in, we generated adjusted diluted earnings per share of $7.87 a decrease of 28% from Q2 of last year with an estimated $1.10 impact from the CDK outage. We saw clear strength in operational performance in the second quarter, and we're on pace for nearly a 50% increase in sequential EPS. We continue to focus on unlocking the profitability of our ecosystem by decisively acting to meet customer demands and operate efficiently by delivering on our core strength execution. Moving on to our unique and extremely difficult to replicate strategy. The foundation of the LAD strategy is our vast physical network built upon the industry's most talented people, highest demand inventory and dense physical network. We continue to build the most extensive physical network in North America and the UK, adding new stores, foundational adjacencies and strategic partnerships, such as wheels, to expand our customer experiences and diversify our portfolio. Operating in the largest addressable retail market in the world, we continue to strengthen our ability to profitably grow across all elements of our business. Our strategy to expand and create customer solutions that are simple, convenient and transparent, allowing us to capture more of the customers' wallet share remains unchanged. These solutions integrate digital solutions and create sticky natural retention of customers within our ecosystem, while magnetic brands, like Driveway and GreenCars, provide access to 50 times more customers than our core physical businesses do. The LAD ecosystem, including Driveway, showed a 2% increase in total MUVs year-over-year, reaching $12 million per month with GreenCars contributing over 900,000 MUVs. MUV effectiveness is also building momentum, where we saw over 38,000 digital units in the second quarter, up 5% compared to last year. Our teams have made great strides in our digital channels with a Google rating of 4.7 out of 5 year-to-date, and renewed focus on reaching profitability and expanding market share. As emphasized by recent events with CDK, technology provides an avenue for sizable increases in productivity within our business. We are excited about the progress our Lithia UK platform is making with Pinewood Technologies as we continue to convert our stores there onto a single platform. solutions such as Pinewood systems, bring the ability to place customers and associates in the same ecosystem in order to increase productivity, substantially improve our current customer experience and enhance our operational resiliency. This quarter, our investment in Pinewood Technologies generated a nice return, which reflects the market's positive view of the platform's possibilities. These strengths, combined with our mission powered by people, financial discipline and regenerative free cash flows, enable us to quickly respond to local market dynamics. This capability allows us to increase touch points throughout the customer's life cycle across our adjacencies and equips our stores with the tools to improve market share loyalty and ultimate profitability. Acquisitions continue to be a core competency, and we remain disciplined as we look for accretive opportunities that can improve our network focused on the United States. As a reminder, we target a minimum after-tax return of 15% or greater and acquire for 15% to 30% of revenues or three to six times normalized EBITDA. We reiterate our expectations that estimated future annual acquired revenues will be in the range of $2 billion to $4 billion per year. Life-to-date, our acquisitions have yielded over 95% success rate and after-tax returns to over 25%, demonstrating that LAD is not your typical high-risk roll-up strategy. This quarter, we welcomed two stores from the Sunrise Group in Tennessee and the Woodbridge Hyundai store located in the Greater Toronto area to Lithia Driveway. To date, in 2024, we have acquired $5.6 billion in annualized revenues. I would like to personally welcome all our new associates to the Lithia Driveway family. We are growth-oriented and see industry consolidation as a driver of strong long-term returns. With the capital engine we have built, we are able to deploy our free cash flows to drive the greatest returns responsive to market conditions. As discussed last quarter, we have adjusted our capital allocation targets to equally balance acquisitions and share buybacks. During the quarter, we repurchased 202 million or 2.9% of our outstanding shares. We continue to monitor valuations on both acquisitions and share repurchase and remain opportunistic. Weaving these elements together, and assuming a normalized SAAR and GPU environment, we see more clearly a pathway to generating $2 of EPS for every $1 billion in revenue as we illustrated in Slide 14 of our investor presentation. The key factors underlying our future steady state are now totally within our control as follows: First, continuing to improve our operational performance by realizing the massive potential that we have built in our existing stores. This includes increasing our share of wallet through greater customer life cycle interactions, sustained productivity gains and growing each store's new used and aftersales market share. Increasing profitability with continued cost efficiencies, combined with the technology catalyst created by customers and team members of coexisting in the same solutions will help as well. Through these levers in our business, we see a pathway to achieve SG&A as a percentage of gross profit with adjacencies in the mid-50% range. Second, optimizing our network by acquiring and driving high performance in larger automotive retail stores in the stronger profitability regions of the Southeast and South Central United States. We also expect further growth in our digital channels to increase our market share to ultimately reach a blended U.S. market share of 5%. Today, we have combined new and used vehicle market share of 1.1%. Third, financing. Up to 20% of units with DFC and maturing beyond the headwinds associated with CECL reserves. Our financing operations achieved profitability in Q2 and is expecting to continue consistent profitability growth going forward. Fourth, through scale and size, drive down vendor pricing with solutions like Pinewood, improved corporate efficiencies to save costs, and lowering borrowing costs as we path towards an investment-grade credit rating. Fifth, maturing contributions from our horizontals, including fleet management, DMS software charging infrastructure and captive insurance. And finally, deliver ongoing return of capital to shareholders through increased share buybacks and dividends. We continue our journey in building a total mobility ecosystem and are well positioned to maximize our unique and powerful scale and reach to deliver more frequent and richer customer experiences throughout the ownership life cycle at global scale. Our original design elements are now firmly in place, and we look forward to focusing all of our attentions on execution to establish new levels of performance for our industry. Now before we move on, I would like to share some organizational changes that I spoke to that are designed to support our evolving company delivering at a high level of performance. I am very excited to announce the promotion of Adam Chamberlain to Chief Operating Officer. Adam's leadership as Chief Customer Officer and Eastern Regional President since 2022, combined with his extensive experience in automotive industry positions him perfectly for this new role. Adam's commitment to improving operations and creating customer-centric culture will be instrumental in driving a more connected and convenient experience across our ecosystem. Diana Deprez will step into the Chief Customer Officer role partnering with Adam in operations to continue to build out Driveway channel, along with our customer ecosystem and related experiences in our aftersales business. With these changes, Chris Holzshu will be handing the baton to Adam, allowing Chris to strengthen our ecosystem to spark growth and serve as the company appointee on the Boards of Pinewood Technology and Wheels. Chris has been instrumental in our growth and we are excited to see his continuing contributions to expand our partnership and enhance the company. These changes provide the organizational leadership and design to deliver best-in-class results and continue to execute on our strategy. Driving profitability through a seamless customer experience across our unique ecosystem and aligns our future success and differentiation. Congratulations, Diana, Chris and Adam.
Adam Chamberlain: Thank you, Bryan. It's an honor to be stepping into this new role, and I look forward to leading our drive to operational excellence and enhancing our focus on creating a customer-centric culture. Thank you also, Chris, for the operational foundation that you've built, and I'm excited to use this to springboard our company to the next level. We have the team and clear strategy to grow our market share and achieve store potential within a few years. I'm excited for the team to execute at high levels of performance and realize the massive profitability opportunity our ecosystem provides.
Bryan DeBoer: Thank you, Adam, Diana, Chris. I'm excited and looking forward to accelerating our journey to reach our potential. Now I'd like to turn the call over to Tina.
Tina Miller: Thanks, Bryan, and thank you, everyone, joining us today. Our Financing Operations segment, primarily driven by DFC, continued its upward trajectory and achieved profitability earlier than expected with income in the second quarter of $7.2 million compared to a loss of $18.7 million in the second quarter of last year. This adjacency continues to grow, and we are seeing the benefits of diversity in our business model as we increase penetration rates and are now past many of the initial headwinds from CECL reserves. We continue to strategically balance yields, growth and risk through our underwriting and focus on high credit quality loans at market rates of interest. The DFC portfolio balance has now grown to over $3.6 billion with origination volumes of $562 million during the quarter. Originations were consistent this quarter in the prime credit quality band, similar with other quarters. Overall, our financing operations business continues to perform better than expected. We reiterate that we expect to continue profitability in 2024 and remain confident in the ability for financing operations to deliver long-term earnings growth with a fully scaled and seasoned portfolio. As a reminder, each loan originated by DFC is expected to contribute up to 3x more profitability compared to traditional indirect lending and presents significant upside potential to our profitability and is a key element as we move toward our 2:1 EPS revenue target. Moving on to SG&A. Adjusted SG&A as a percentage of gross profit was 67.9% during the quarter, which reflects the impact of the CDK event and 67% on a same-store basis, which excludes the higher expense profile of our UK business. We continue execution of our UK network optimization, including streamlining operations and divesting merging and closing targeted stores. Moving on to our balance sheet and cash flow performance. We reported adjusted EBITDA of $435 million in the second quarter, driven by the impact of the CDK outage on unit sales, lower new vehicle GPUs as supply normalized and higher interest expense. We ended the quarter with net leverage of approximately 2.3x, comfortably below our target of 3x and our bank covenant requirements of 5.75x. We maintain our financial discipline even with planned growth and target leverage below 3x. These figures adjust for the impact of floor plan debt, which is unique to our industry and related to the financing of vehicle inventory. This financing is integral to our operations and collateralized by these assets. The industry treats the associated interest as an operating expense and EBITDA and excludes this debt from balance sheet leverage calculations. Similarly, we have ABS warehouse lines and issuances to capitalize DFC, which are also excluded from our leverage calculations. During the quarter, we generated free cash flows of $127 million. Free cash flows were impacted by declining EBITDA due to decreasing margins, the CDK outage in June and an increase in capital expenditures compared to prior year, mainly related to construction at recently acquired locations to meet manufacture requirements. Our capital allocation strategy focuses on the regenerative cash flows from our business, which preserves the quality of our balance sheet while supporting our growth initiatives and navigating today’s complex environment. Earlier this year, we adjusted our capital allocation strategy to more closely balance acquisitions with shareholder return. As a result of the rebalanced focus in the second quarter, we repurchased 2.9% of our outstanding shares at a weighted average price of $256, approximately $615 million remains available under our share repurchase authorization. Our vision and ability to deliver on synergies through acquisitive growth remains unchanged. And our team has the necessary infrastructure and tools to drive revenues and margins toward our long-term target of achieving $2 in EPS per $1 billion in revenue. Our culture and business is designed to grow and deliver consistent strong performance. Coupled with the diverse and talented members of our team, this gives us the necessary foundation to achieve our plan and to continue driving value for our shareholders. This concludes our prepared remarks. With that, I’ll turn the call over to the audience for questions. Operator?
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question is from Ryan Sigdahl with Craig-Hallum.
Ryan Sigdahl: Hey, good morning, guys. Congrats, Adam.
Adam Chamberlain: Thank you, Ryan.
Bryan DeBoer: Good morning, Ryan.
Ryan Sigdahl: Bryan, I want to start with something said in your prepared remarks. I believe I caught it right, but you said we’re on pace for a nearly 50% increase in sequential EPS. I guess, if I am looking at the $7.87 in the quarter into Q3 for that 50% or I guess some context around that statement would be helpful.
Bryan DeBoer: Ryan, so the concept was that CDK cost us $1.10. Add the $1.10 on to the $7.87 and you get what our tracking would have been without the CDK event, which is almost 50% and just a little over 40%, excluding the Pinewood impact.
Ryan Sigdahl: So that’s Q2 versus Q1, correct, that 50% that’s what you’re referring?
Bryan DeBoer: Exactly right. Yes.
Ryan Sigdahl: Thank you. Then looking at Slide 14 for my follow-up, mid-term, I believe is a new kind of statement in there, and it’s for $40 billion to $50 billion of sales, which isn’t far away from where you guys are today. So I guess any time frame around what type of time frame we’re looking at for mid-term? Or I guess, is it really just about reaching that revenue range, and you can get the $1.20, $1.30 of EPS?
Bryan DeBoer: Yes. I think when we think about mid-term, we think two to four years. And if we think long-term, it’s five to eight years. So I think that’s the appropriate way to look at this. I think we’re probably going to be able to eclipse those numbers a little bit quicker. And as you saw in the quarter, we got some pretty good tailwinds. We made some pretty good improvements in operations. And I think most importantly, of the four peer groups that have been announced so far, our SG&A as a percentage of gross was the lowest on a same-store basis of all four, which is much different than it was even last quarter. So you’re starting to see the impact of the 60-day plan start to take hold. And that 60-day plan, you’re going to – we’re going to be realizing most of that starting on July 1, like we said last quarter.
Ryan Sigdahl: Good to see. I’ll turn over to the others. Thanks, guys. Good luck.
Bryan DeBoer: Thanks, Ryan.
Operator: Our next question is from Rajat Gupta with JPMorgan.
Rajat Gupta: Well, great. Thanks for taking the questions. I just had a couple. Just following-up on the SG&A and the cost reduction plan, given like 60 days were complete on the $150 million. Is there a good framework to think about SG&A to gross in the third quarter? I think previously, you’ve cited something like 64% to 67%. Are we going to be within that range in the third quarter itself? Or is it going to be later in the year or maybe next year? Maybe you could clarify that, and then I have a follow-up.
Bryan DeBoer: Sure, Rajat. This is Bryan. Hope, all is well. I think most importantly, when we think about SG&A going forward, I think what you’re seeing is the momentum start to build. Remember this in Q3, I would say that we’ll probably end up somewhere around where we were this quarter in Q3 for two reasons. Even though rightsizing and the 60-day plan are taking hold, and I can give you some specifics on that in just a second. It’s important to remember that we still have the possibility that new car GPUs are a little bit inflated still. So that could offset it. And by the time you hit September, October, you start to feel that going into the winter seasonality. I would also say this. So we did eclipse the first half of what we’ve now called the 60-day plan. We’ve earmarked $150 million, and we eclipsed that on July 1. I got the report yesterday. We’re now over $200 million that will be realized mostly in Q3, okay, with the remaining difference of about $100 million coming primarily from inventory reductions, which we’ve got lots of opportunity to improve there, and it may take us closer to the end of the year. So I would say if we’re lucky, we’ll get to realize some of that in Q4, but definitely into 2025, we’ll get the benefits of most of that.
Rajat Gupta: Got it. That’s very clear. And then just on parts and services, clearly, June was impacted by CDK. I was curious if you could give us a sense of the run rate you saw in April, May? And maybe what are you seeing in July? And also, I'd love to know like is there any opportunity to take more price and perhaps some of the acquired stores over the last couple of years where they might not have been as proactive or opportunistic like the legacy stores? Thanks.
Bryan DeBoer: Yes. I think if we think about our potential, which I think is what you're indicating on the newly acquired stores, we've spent now, what, 4.5 years being able to add almost $25 billion in revenue of some good stores, but a lot of stores that have massive potential. And I think to highlight that, if you get a little more detail into our numbers, our value auto sales, which is over nine-year-old vehicles, is now only 12% of our mix. It used to be in the mid-20% of our mix, meaning that we're not selling those things that Lithia typically does. So that's one of the opportunities. Obviously, in service, body and parts, there's further opportunities to be able to grow that. And obviously, the leverage of the whole gets there. Now in terms of parts and service which was the first part of your question, pre-CDK event, we were tracking in the mid to low single digits on a same-store sales basis. And then obviously, when you're handwriting arose, it's a little bit more difficult that we did get most of the business that we had during that 12-day period into the books in June. However, there was a little carryover for the first 10 days or so. So we are seeing a little bit of lift in July. However, July also has two extra days relative to last year. So anything that I give you, it automatically should be up about 8% or 9% just because of the fact that we've got 23 days instead of 21 days in July. Thanks, Rajat.
Rajat Gupta: Got it. Thank you.
Operator: Our next question is from Bret Jordan with Jefferies.
Bret Jordan: Hey, good morning, guys.
Bryan DeBoer: Hi, Bret.
Bret Jordan: Bryan, I think you just said that the possibility that new car GPUs are a little inflated still. Could you sort of talk about where you see that glide path now and maybe the cadence in the quarter on GPU?
Bryan DeBoer: Sure, sure. We were fortunate that June ended up looking pretty darn good. And if you look sequentially quarter-over-quarter, we were basically the same as we were last quarter on our total vehicle GPU. Now going back five years, okay, we were about 3,500 to 3,700 in total GPUs, including F&I. Today, we sit at 4,700 still, okay? We do know that our F&I is structurally different than it was before because of the ability to improve for five years. So we think that there's a couple of hundred dollars there that would have took in our F&I from $1,600 up to about $1,800. And then the single biggest difference, and this is a big difference when you start to think about your SG&A as well, is we now have a good portion of our business in the high-margin regions of the Southeast and South Central, which has higher F&I, less regulation, a lot higher average store size, which really helps us a ton. So we think that our normalized total vehicle gross profit with F&I is somewhere between $4,200 and $4,500, Meaning that if we're still sitting at $4,700, there's a chance that $200 to $500 still has to come out, but we're going to do everything in our power. And I would say this, we believe – we're starting to believe that we could be at the bottom, which is great. Now we can actually build back up because everything that we're talking about does get diluted a little bit by this overhang of GPUs. But I do think that we've got the ability to be able to power through this now and be able to grow earnings and grow our same-store sales base from this point forward.
Bret Jordan: Okay. And quick question on the dollar…
Bryan DeBoer: Adam had a little bit more to share with you, too, on that, Bret.
Bret Jordan: Okay.
Adam Chamberlain: Hi, Bret. Just to add to that. Pre-COVID, we were seeing incentives as a percentage of MSRP in the kind of 10% to 11% range. Right now, we've climbed kind of slowly through the year and running about 6% to 6.5%. So if you take then the delta to pre-COVID levels of about 4% to 5%, that could be another $2,000 to $2,500 based on the average selling price of a car at sort of mid to late 40s. Does that make sense? So there's kind of offset between the two, whether we decreased a little bit sequentially, but we also expect with day supply, we expect some of the OEMs to be stepping up incentive levels as well.
Bret Jordan: Okay. All right. On the CDK $1.10, as far as business interruption insurance or is there a piece of that you can bring back and maybe timing that is that going to fall within this year if you get some recovery?
Tina Miller: Yes, Bret, this is Tina. We do have cyber insurance and obviously are going to work with our carriers around that. It does take some time to put that claim together and work that through. So hopefully, there's something there, but we didn't record anything in the second quarter.
Bret Jordan: Thank you.
Operator: Our next question is from John Murphy with Bank of America.
John Murphy: Good morning, everybody. I just had two questions for you guys. First, Bryan, on the Wheels, Inc. acquisition or sort of tie up here. I'm just curious, when you think about fleet management, how does it kind of dovetail into the core business? Is it something where you sell the new vehicles and you manage them and then you're able to sell them out of the fleet into your business and then retail them. I mean what's the general take here on fleet management?
Bryan DeBoer: Yes. I may have – Chris jump in a little bit on this, but let me just – let me take a shot at this. Okay. I think most importantly, in the relationship, we look at the synergies first. However, they have very high levels of service expectations for their drivers. And I challenge all of us on the Lithia & Driveway teams to be able to meet those demands because it is a different level of service than probably even what our retail customers get. So most importantly for us to realize the synergies in the partnership with Wheels, which are primarily the ability to sell some new vehicles to them to help embellish the fleets that they service, okay? That's an important thing. They divest somewhere around 100,000-plus vehicles a year, which, if we can do a good job and pay market and build Driveway, GreenCars in the Lithia channels to be able to attract more customers. And obviously, we've now got a pipeline of vehicles that maybe competitors don't have. Ultimately, we'll have to be the highest payers for those, but those relationships can grow and build and bond. In addition, they maintain all those cars, okay? And that is maintained through multiple different networks of retailers today. If we could get some of that business or all that, it's a massive lift to service and parts long term. That's where we start with the synergies. The other neat part about it is when I talk about the service level that they provide their drivers. We were inspired, Chris and I, when we met with them, what, almost 16 months, 17 months ago now at their ability to provide services to consumers to their drivers that we have never even contemplated, okay? They’ve got the relationships, the APIs and their apps, the pricing methodology and the contracts negotiated where you get into more of a subscription services like what we try to do with service contracts, but these are big dollar amounts. Their business is based off small dollar amounts, such as selling people toll services where a customer says, I want my tolls to be done on my app. Okay, I want to pay for everything in one spot rather than to have to go into the toll companies or those municipalities, they don't have to do that, okay? And they negotiate with municipalities, discounts that on that and then pass some of the discounts along to their users. So it's pretty exciting. There's probably half a dozen examples like that. That we believe could be monetizable within Lithia & Driveway portals to be able to access and be a conduit to further growth in our F&I products or our subscription services, creating greater ties with our consumers and more touch points than what we currently have.
John Murphy: That's incredibly helpful. And just a second question on interest rates, which is an obvious question, but you guys have not really addressed too much, I think here is – I mean, if you look at what's happened in the last two and a half years, we have basically about a 400 basis point or maybe a little more rate increase to the auto consumer. And everything that you've done over that time frame is just better and better, and the industry is putting up record profits. There's no real discussion about how big a benefit that could be as rates come back down. And people look about ASPs and your GPUs and say they're just not sustainable, but they've been sustainable and very strong in the face of that. And effectively, you're looking at something that's almost 15% picky or incremental to the ASP. So I'm just curious as – on the good guys side of this, how do you guys think about what the potential could be here? And I think you're maybe conservative on your GPU and ASP assumptions in the face of this. What's your take?
Tina Miller: John, this is Tina. I mean on the interest side, and I'll start maybe with just our business, right, we obviously have several of variable debt. So there is a tailwind that we can get as rates get cut from that perspective. around consumer affordability, it's impacted, and we've talked about that in the past around what that monthly payment is. And then I think that gives a good strength and tailwind for consumers going forward since they're monthly payment shoppers. And Bryan, I don't know if you have anything to add to that, but I think affordability is something we've always commented on that's important that drives our business.
Bryan DeBoer: John, I think when we think it from an impact and magnitude to the organization, and I'm sitting here next to Adam who spend a lot of his career with manufacturers. His focus and the operational team's focus of our presidents and regional vice presidents. We have tons of opportunity in terms of inventory and being able to control inventory and now that the ecosystem is fairly well built and our people are out there swinging, and they get this. We're talking about almost $1 billion cut in total inventory between new and used by year-end, while still maintaining our same growth rates, okay? And if nothing else, improving velocity of our turns to be able to improve that. But we're talking that that's almost $100 million in interest rate savings at today's rate, compounded with the things that Tina just spoke to.
John Murphy: Okay. Thank you very much guys.
Bryan DeBoer: Thanks, John.
Operator: Our next question is from Douglas Dutton with Evercore.
Douglas Dutton: Hey team. Thanks for taking my question here. Just had a question on the buyback. Obviously, a very strong quarter there, about $200 million in repo. Is that – what would you handicap as the new normal there going forward, Q3, Q4 in 2025. Do you think high 8-figure loan, 9-figure buyback could be the norm? Or are we going to go back to that 10% to 12% level of free cash?
Tina Miller: Yes. I mean, for us – this is Tina. When we think about capital allocation, it really is balancing valuations that we’re seeing out there from an M&A perspective as well as the stock price and how we can be opportunistic in it. And so from our perspective, it’s always running that math as we look at what the opportunities are. M&A, as you know, is core to our business and our strategy, and we see really strong value and continuing to grow the footprint. Our focus is here in North America, especially in the United States, where there’s lots of opportunity in the fragmented market. So we don’t really set sort of a dollar amount on our approach. It’s really looking at what is that opportunistic purchase that we can make compared to our stock versus the M&A activity out there from that perspective.
Bryan DeBoer: Do you want me to embellish a little bit on that too? Keep this in mind as well, Doug. The marketplace is pricing acquisitions, close to three years average earnings on inflated earnings. So when we look at that and the opportunity, that’s not that appealing because we typically look at pretty high returns on what we expect to be able to buy things through. We think that will subside, okay? And I think our standard line is you already got that earnings, why do you expect us to pay for it? But we are competitive buyers, and we’ll continue to grow and find opportunistic acquisitions, expecting somewhere between $2 billion and $4 billion in the years to come. More importantly than that, the value that our stock trades at, now one of the lowest in the sector. So we would say we’re at trough earnings potential, okay? We’re also at trough multiples. So when we look at the fact that I can look around this room with the six of us in here and confidently say that the $2 of EPS for every $1 billion of revenue is a very high probability of success in the mid- to long-term range, okay? And you can see the reconciliation on Page 14, we updated the slide because our forecasting is quite clear on it. We’ve now disseminated through the organization. It’s clear that we’re about $0.80 right now in that ratio, so about 0.8:1 rather than a 2:1. We’ve got somewhere around $0.60 to $0.70 that we think can be realize in the potential within our stores as well as the acquisitions that come from the capital that we’ve allocated and that I just walked through with you. Our financing operations of what Chuck talked about, at maturity gets us to $0.22 to $0.25 additional. We talk about capital efficiencies that Tina just spoke to and the idea of using some of the capital for share repurchases, especially if we’re going to be penalized this much okay? That’s another $0.25 to $0.35, okay, massive amounts as well. We haven’t even got into the new adjacency that Chris is going to be working on with Wheels and Pinewood and the things that we don’t even really share with the world that’s the advantages of what Lithia and Driveway built in an ecosystem that is totally different than what anyone else in the space has. And now you’re starting to see that, that realization come through. And as long as operation can keep going, which I know it will under Adam’s leadership, that we’ll be able to take that potential and realize the true potential of what we’ve built over the last eight to 10 years.
Douglas Dutton: Awesome. I appreciate the detailed answer there any. Actually I answered my follow-up as part of that. So I will turn it over. Thanks team.
Bryan DeBoer: Great, Doug. Thanks.
Operator: Our next question is from Colin Langan with Wells Fargo.
Colin Langan: Oh, great. Thanks for taking my questions. Can I just follow-up on your comments on sort of you addressed sort of new GPU coming down only, I think, you said $200 to $500. That did include when you quoted at F&I. I think in the past, you’ve talked pretty clearly how you think new GPU release alone would normalize at pre-COVID levels. So has that part of it changed? Is it just F&I is offsetting some of that? And if so – if it’s changed, why hasn’t changed? Thanks.
Bryan DeBoer: So in my comment, when I said we’re at $4,700, we’re going to go to – we think we’re going to be at $4,200 to $4,500 [ph]. That was total GPU, okay, between new and use. We do believe that the way that you get there, that $200 to $500 is some recovery of used vehicles, which are still at depressed levels below where they were pre-COVID, okay? And if we can get more into the value auto cars at Lithia, we’re making about $200 more on every value auto car and turning about 3x to 4x as fast, okay, than what we do on a certified car. So we think that there’s a lot of opportunity there. So it’s probably, I would say, $300 to $500 return of used vehicles and maybe $800 to $1,000 drop still in new vehicles. If we can prevent that, then that’s the upside. But I think we’re real close to normalization at this stage, not assuming some macro factor that changes things, okay? But we feel real comfortable with where we’re sitting today, but it’s been a softer landing rather than a pretty abrupt landing.
Colin Langan: Got it. That’s a helpful clarification. And then you mentioned $1.20 CDK impact. I think the question earlier was recovery. How should we think about that instead of insurance recovery, I was sort of wondering how much of that lost sales that's in $1.10 in the quarter is a good portion recoverable? Is it most kind of just sort of lost and you're not going to see any sort of benefit into Q3 as maybe things are deferred? How should we be thinking about what kind of maybe – quarter.
Bryan DeBoer: Good question, Colin. Yes. So it was $1.10. And I would think that a portion of it, and I would say less than the majority is probably recoverable. It may be as little as $0.10 to $0.20. A lot of it is really service and parts that was backlogged in terms of production levels. But you have to remember this, even though CDK had this event, 55% of the industry wasn't on CDK in the United States, okay? So understand that, that customers don't typically wait around for 12 days, 15 days to buy another car. They may wait around a little bit on service just because it may be their only service point, especially 40% of our stores are in isolated markets, okay? So that probably helps a little bit. But ultimately, those new and used car customers probably bought, okay? Most customers buy within 72 hours of making the decision to buy even though they may research for two weeks to four weeks, they typically buy when they want to buy. So I don't believe there's a ton of that $1.10 that's sitting out there, unfortunately.
Colin Langan: Got it. Very helpful. Thanks for taking my question.
Bryan DeBoer: Thanks, Colin.
Operator: Our next question is from Ron Josey with Citigroup.
Unidentified Analyst: Hi. This is James Michael [ph] on for Ron. Two-part question here focused on your evolving omnichannel strategies. So first up, can you talk about any shifts you're seeing in the broader online competitive environment? And any update on marketing ROI or underlying conversions across your Driveway and GreenCars digital sales channels? Secondly, how are you balancing investments to tackle that 50x online customer TAM, while at the same time, cutting burn rates by 40%? Thank you.
Bryan DeBoer: Thanks for the question, James. I think when we think about our GreenCars and our Driveway channels. We're quite pleased to see that our top of funnel is staying pretty consistent while still reducing marketing budgets by over 50%. So we're pleased with that. We think that we're ready to turn the afterburners on both of those channels again because what we were struggling with was customer retention and satisfaction, where we were at a 3.7 Google score last year. Year-to-date, so far, we're at 4.7. I congratulate our GreenCars and our Driveway teams massively. That's a massive shift, meaning that our ability to grow and improve what we used to call a golden ratio, which is the bottom of funnel relative to the top of funnel can be massive now that we've got satisfied customers, what you get is repeat and referral business that start to come back now, okay? That's how you access the 50x or 50 times more customers than what our core businesses typically touch, okay? We are still seeing that 98% plus of our customers in Driveway and GreenCars are new to Lithia & GreenCars and Driveway. So that's really exciting to still be able to have, but we built a channel with an experience that's transparent, convenient and simple and it's a great way to be able to access this, especially as our procurement of used cars and our ability to really leverage the network that we've built, start to take hold in the overall ecosystem.
Unidentified Analyst: Very helpful. Thank you.
Bryan DeBoer: Thanks, James.
Operator: Our next question is a follow-up from Rajat Gupta with JPMorgan.
Rajat Gupta: Great. Thanks for squeezing me again. I just had a question on the used car GPUs in the second quarter. It looks like the same-store numbers were up sequentially, but the overall numbers took a big dip. I mean – I'm sure like UK had like a bit of a mix impact. But I was curious, were there any time like onetime liquidation type events in the UK that might have driven that reduction? And then how should we think about just used car GPUs going forward? Thanks.
Bryan DeBoer: Rajat, you nailed it. That was a great summation that you had there on used car GPUs. We do think that there's opportunity for growth. But again, operationally, we have to get back to selling and keeping those value auto cars that yield the big profits and turn so quickly, that will lift our overall GPUs back up and they're way less sensitive to market conditions. But no, there wasn't any onetimes or anything like that, that was true market conditions.
Rajat Gupta: Got it. Okay. Thank you.
Bryan DeBoer: Thanks, Rajat.
Operator: Ladies and gentlemen, we've reached the end of the question-and-answer session. I would like to turn the call back to Bryan DeBoer for closing remarks.
Bryan DeBoer: Thank you, everyone, for joining us today. We really look forward to updating you again in seeing the impacts of the 60-day plan really take hold. We'll talk again in October for the third quarter results. Bye-bye.
Operator: This concludes today's conference. Thanks for your participation. You may disconnect your lines at this time.